Operator: Greetings. Welcome to the Hasbro First Quarter 2014 Earnings Conference Call. (Operator Instructions) As a reminder, this conference is being recorded. At this time, I’d like to turn the call over to Ms. Debbie Hancock, Vice President of Investor Relations. Please go ahead.
Debbie Hancock: Thank you, and good morning, everyone. Joining me this morning are Brian Goldner, Hasbro's President and Chief Executive Officer; and Deb Thomas, Hasbro's Chief Financial Officer. Today we will begin with Brian and Deb providing commentary on the company’s quarterly performance and then we will take your questions. Our first quarter earnings release was issued this morning and is available on our website. Additionally, presentation slides containing information covered in today’s earnings release and call are also available on our site. The press release and presentation include information regarding non-GAAP financial measures. Please note that whenever we discuss earnings per share, or EPS, we’re referring to earnings per diluted share. Before we begin, I would like to remind you that during this call and the question-and-answer session that follows, members of Hasbro management may make forward-looking statements concerning management’s expectations, goals, objectives and similar matters. These forward-looking statements may include comments concerning our product and entertainment plans; anticipated product performance; business opportunities, plans and strategies; costs and cost savings initiatives; financial goals and expectations for our future financial performance. There are many factors that could cause actual results or events to differ materially from the anticipated results or other expectations expressed in these forward-looking statements. Some of those factors are set forth in our annual report on Form 10-K, our most recent 10-Q, in today’s press release and in our other public disclosures. You should review such factors together with any forward-looking statements made on today’s call. We undertake no obligation to update any forward-looking statements made today to reflect events or circumstances occurring after the date of this call. I would now like to introduce Brian Goldner. Brian?
Brian Goldner: Thank you, Debbie. Good morning everyone. Thank you for joining us today. In February, at Toy Fair we shared with you how Hasbro is creating a revolution in play across geographies consumer engagement and Hasbro brands. Hasbro franchise brands, emerging markets and our entertainment and licensing segment revenues grew year over year. In total, first quarter revenues increased 2% despite Easter happening in the second quarter of 2014 versus the first quarter of 2013 and ahead of most of our major movie shipments for the year. Geographically, the revolution in play is based on the premise that the emerging markets will deliver the fastest growth in our industry. Hasbro’s emerging market revenue grew 15% in the first quarter. Within the international segment, Latin America was our fastest growing region, up 17% as reported and up 27% excluding foreign exchange. All major countries within the region grew, including Mexico as well as the emerging market countries of Brazil, Chile, Peru and Colombia. Additionally, Europe increased 8% with growth in several mature countries, including the UK, Italy and Spain plus strong growth in our emerging market Eastern European countries which include Russia. As we said in February, we are poised for improvement in the U.S. and Canada segment. The U.S. business did improve in the first quarter behind new initiatives like Hero Mashers, continued momentum in franchise brands, My Little Pony, My Little Pony Equestria Girls, Nerf, and Nerf Rebelle as well as movie launches, including Captain America: The Winter Soldier out in theaters now. Several major films, notably Transformers: Age of Extinction and The Amazing Spider-Man 2 are launching in a significant way in the second quarter. In addition, in the first quarter, Canada, Australia and France continued to present challenging economic conditions for our business. Overall the U.S. and Canada segment declined slightly in the quarter. International segment revenues increased 5% and entertainment and licensing revenues grew 13%. Within the entertainment and licensing segment, we had a contribution from Backflip Studios which was not in our results during the first quarter of last year. In addition, lifestyle licensing revenues grew driven by our franchise brands in particular My Little Pony. In 2014, we have strong retailer support both in-store and online for Hasbro product and licensing initiatives as we drive the revolution in consumer engagement with content, licensing and in partnership with our global retailers. From a brand perspective, Hasbro franchise brands grew 15% in the first quarter with growth in all our segments. Five of our seven franchise brands grew year-over-year, specifically Magic: The Gathering, Monopoly, My Little Pony, Nerf, and Play-Doh. The remaining franchise brands Littlest Pet Shop and Transformers have significant new initiatives slated for the remainder of the year backed by strong global retailer and entertainment support. This strong franchise brand performance helped deliver growth in our boys and girls categories. Boys category revenues increased 2% with growth in Marvel, Nerf and Super Soaker. Transformers revenues declined slightly in the first quarter as we shifted focus and geared up for shipments tied to the movie in the second quarter. We have strong global retail support for Transformers: Age of Extinction product as well as licensing programs as we activate the brand globally across our brand blueprint. Girls category revenues grew again this quarter increasing 21% year-over-year. Our franchise brand initiatives for My Little Pony and the addition of My Little Pony Equestria Girls and Nerf Rebelle delivered strong year-over-year gains for the girls category in the quarter. Our games revenues declined 4%. Both franchise brands Magic: The Gathering and Monopoly increased. With respect to Magic: The Gathering, the timing of releases can impact quarterly performance. While the brand grew this year's first quarter release was planned as a lighter release with fewer cards than the 2013 first quarter release. This change in release size had the biggest impact on the U.S. and Canada segment. Several other games mega brands grew this quarter, including Operation, Jenga, and Elefun and Friends. These games did not offset declines in our action battling initiatives and in Duel Masters, a Japanese trading card game. Finally, preschool category revenues declined 4% though Play-Doh continued to be a strong performer globally. Doh Vinci will launch later this year and will be reported in the girls category. Transformers Rescue Bots and Marvel Super Hero Adventures also grew slightly in the quarter but were more than offset by declines in core Playskool initiatives. In closing, the first quarter was a solid start to the year, a year which we feel very good about from an innovation, entertainment and execution standpoint. We are focused on driving our franchise and key partner brands, growing profits faster than revenues and delivering on creating a global revolution in play. And now I'd like to turn the call over to Deb. Deb?
Deborah Thomas: Thank you Brian and good morning everyone. As Brian stated, the first quarter was a solid beginning to 2014. Revenues, operating profit and earnings per share increased year-over-year reflecting good momentum in Hasbro franchise brands and key partner brands, combined with the benefit of cost savings. Before we review our results, please note that the first quarter 2014 as reported had a $13.5 million or $0.10 per share favorable tax adjustment related to discrete items. Additionally, in the first quarter 2013, we had pretax charges of $28.9 million or $0.14 per share associated with restructuring and related pensions actions as well as favorable tax adjustments of $5.5 million or $0.04 per share. We've included a reconciliation to reported amounts in today's release. During the rest of my discussion of our business, I will exclude these items as they do not speak to the underlying performance of Hasbro. Looking at our segments, the U.S. and Canada segment first quarter revenues declined slightly, down 1%. The girls category grew but was offset by declines in the boys games and preschool categories. Segment operating profit declined 5% in the quarter, primarily resulting from lower revenue and product mix. In the international segment, the first quarter revenues increased 5% with Europe growing 8% and Latin America up 17%. Additionally, emerging market revenues increased 15% in the quarter. Boys and girls category revenue growth more than offset revenue declines in the games and preschool categories. Revenue growth in the international segment drove significant operating profit growth in the quarter, as the segment posted an operating profit of $2.4 million versus an operating loss of $4.5 million last year. Entertainment and licensing segment revenues grew 13% in the first quarter. The segment benefited from the revenue contribution of Backflip Studios. Revenue growth in lifestyle licensing was offset by lower entertainment revenues. Segment operating profit was $6 million compared to $7 million a year ago. Looking at our overall expenses. We continue to make progress and remain on track toward our goal of achieving $100 million in underlying cost savings by 2015. We continue to lower our costs while investing in areas of the business to drive long-term growth, including Backflip Studios, Magic: The Gathering and our IT and digital infrastructure. Cost of sales as a percentage of revenue in the quarter declined and continued to benefit from improved inventory management and favorable revenue mix, including higher entertainment and licensing segment revenues. Royalty expense in the quarter was close to flat with last year but as we’ve discussed 2014 is an entertainment rich year for both Hasbro and our partners. Product development increased mainly due to the addition of Backflip Studios and incremental investments in Magic: The Gathering. Intangible amortization increased year-over-year due to incremental expense associated with Backflip. SD&A in the first quarter increased $7 million, reflecting the items we discussed at Toy Fair, including inflation, higher compensation and investments such as Backflip and Magic: The Gathering, partially offset by cost savings. Turning to our results below operating profit for the year. Other income was $5 million versus other expense of $4.1 million in 2013. Our 50% share in the Hub Network improved to a profit of $1.3 million in 2014 versus a loss of $1.1 million in 2013. The Hub Network remains on track to achieve its plan of pretax profitability in 2014. Additionally we had a $3.4 million gain from the sale of an asset, lower foreign exchange losses and improved investment returns in 2014. The first quarter underlying tax rate declined to 26.1% versus 26.4% in the first quarter 2013 and we continue to expect our full-year tax rate to be in the range 26% to 27%. For the quarter, average diluted shares were 132.7 million shares compared to 129.3 million in 2013. This increase is due to the appreciation in Hasbro stock price which resulted in higher stock option exercises. The actual amount of shares outstanding at the end of the first quarter 2014 was 130.2 million shares. Diluted earnings per share absent charges and the favorable tax adjustments were $0.14 in the first quarter 2014 versus $0.05 in 2013. Our business continued to generate strong cash flows from operations. During the quarter we generated $242 million of operating cash flow. For the trailing 12 months, operating cash flow was $345.7 million. At quarter end, cash totaled $792.2 million. Our capital deployment commitments remain intact. Our first priority is investing back into Hasbro for the long-term profitable growth of the business. The second is returning cash to our shareholders in the form of dividends and share repurchases. Finally, we remain committed to executing against these priorities in a manner consistent with maintaining our solid investment grade rating. In the first quarter we returned $132.9 million to shareholders, $52.4 million in cash dividends and $80.5 million in share repurchases. At quarter end, $444.3 million remained available in our current share repurchase authorization. Our first quarter repurchases were consistent with our stated objective to increase the pace of our share repurchases in 2014. We have $425 million of long-term debt which is current and matures in May of 2014. Given current interest rates, our plan is to refinance all of this amount. Receivables at quarter end increased 8% versus 2013. DSOs were 73 days compared to 69 days last year, reflecting the timing of collections and the mix of revenue. Inventories increased $67.1 million versus last year, ahead of our major movie launches in the second quarter. Additionally, international inventory growth was primarily in support of emerging markets. Our inventory at U.S. retail was down slightly at quarter end and internationally our inventory at retail was healthy. Overall, retail and Hasbro-owned inventory is of good quality. In closing, with most of the year still ahead of us, Q1 was a solid start to 2014, with good momentum in our franchise brands and more major entertainment launches beginning in the second quarter. Brian and I are now happy to take your questions.
Operator: (Operator Instructions) Thank you. Our first question is from the line of Stephanie Wissink with Piper Jaffray.
Stephanie Wissink - Piper Jaffray: We have two questions if we can. One, Deb, for you, just on clarification around the inventory. I think you mentioned that the U.S. inventory at retail down slightly. How should we think about inventory pacing through the second quarter as you move into some of the other movie releases? And then a question as well for the group just on, broadly if you think about the year, how should we also think about first half versus second half in terms of kind of the pacing of revenue?
Deborah Thomas: Great. Well, good morning, Steph. As far as inventory at retail, we did say it was down slightly at the end of the first quarter. But you'll notice our inventory was up and as we put some color around that, we said it's really in light of our major movie and entertainment launches that are coming in the second quarter and beyond this year, and also in support of our emerging market business where we continue to build in inventory to support the full year. So while it’s down a bit at retail, it's all of good quality here and internationally and we’re gearing up for more major entertainment releases later in the year.
Brian Goldner: Hi, Steph, if you look at the inventory increase year on year, you'll see that two-thirds of that inventory is in support of our international and emerging market business and about a third is focused around the U.S. business and the fact that we have so many significant entertainment launches and momentum in several of our franchise brands. And if you look at the full year, we’ve talked about the boys business, clearly we have some great start to the year in several of our boys brands, particularly the Marvel business. We have seen growth in Nerf in the first quarter but if you look at boys action properties even with movies that occur in the second quarter, the template for the year-long sales still remains more backend loaded, we’ve talked about that before and as is true with the rest of our business and certainly true around the world. And so I think you’d see gating that is similar to prior years as you look at the four quarters of revenues.
Operator: Our next question is from the line of James Hardiman of Longbow Research.
James Hardiman - Longbow Research : I guess two questions, on Marvel, certainly encouraged by the fact that it was a positive contributor in the quarter. Obviously that was one of the biggest drivers of the declines in the boys business last year. Is it too early to say that Marvel will be a positive contributor for the year or is it more of a function of movie timing, how should we think about that?
Brian Goldner: I think overall if you look at the boys first quarter, what you see is clearly Marvel has moved ahead and have a number of initiatives there, both some great innovations with Hero Mashers that really began the new year in a great way and the product line that’s all about customization for boys, Captain America in the quarter and then as you move into the second quarter, clearly you really get into Spiderman in earnest as well as Transformers, not Marvel but Transformers as we look at the major launches for the year. Clearly this is a great year for the Marvel business. There is a lot of new entertainment coming and Guardians of the Galaxy coming later in the year. And if you look at our first quarter, again you talked about some of the challenges up against boys comps a year ago. Our biggest challenge in the first quarter in boys comps is actually in Beyblade and that's there. This is probably one of the biggest quarters a year ago that we had for Beyblade. And that represents a challenge this year versus last year. But as we move forward, we’re not going to give you the specifics except to say we are absolutely excited about the plans for Marvel this year and going into the future.
James Hardiman - Longbow Research : And then a couple of just housekeeping questions. Deb, the $3.4 million gain, was there a tax benefit associated with that, or was that a net number? And then I guess in terms of the balance sheet cash flow, it sounds like there were some timing things associated with inventory and accounts receivable. Once those sort of work their ways through during 2Q, should cash be more at sort of historical levels? They were obviously lower than a year ago coming out once you were, are those going to get back to sort of normal, or how should we think about that?
Deborah Thomas: Sure. Well, if you recall, we made a large payment to Disney toward the end of last year in connection with extending our -- and harmonizing our agreement to have everything go through 2020. So if you kind of look at the trailing 12 months, if you add that payment back in, you’re getting close to the $500 million and there were some timing issues of payments with inventory and receivables. But really nothing unusual in connection with that.
James Hardiman - Longbow Research : Great, and the $3.4 million gains, was that a net number?
Deborah Thomas: No, that was actually a gross number, and if you think about that, that was something that occurred in the U.S. So if you use really a U.S. tax rate it really shows it wasn’t a bigger number net as it looks on a gross basis. But we wanted to give that to you. Other than that, I mean our other income included better investment returns and lower foreign exchange losses kind of things that ebb and flow from year to year. But that was unusual, so we wanted to call that out and also within other income and expense as we were saying the Hub remains on track to pretax profitability and in fact had profit of $1.3 million versus a loss of a year ago.
Operator: Our next question is from the line of Sean McGowan of Needham & Company.
Sean McGowan - Needham & Company: Wanted to focus on the Magic release, a couple of questions about that. First, are you planning that there won't be any larger packs released later this year or is it really just timing, there will be some later?
Brian Goldner: In fact, Sean, it’s just timing. They go up and down through years, not really calendar oriented but really around the storyline that the teams work on and then put out to our players. And so yes there's larger and smaller releases planned throughout this year and that's been true throughout time.
Sean McGowan - Needham & Company: Okay and I think you said, Brian, that, that was the major – that has a major impact on the U.S., maybe you haven’t said it, would it be fair to infer that it also had a major impact on the overall games business?
Brian Goldner: If you look at games, remember games, particularly more traditional face-to-face gaming is a very responsive category to Easter. So the fact that Easter is three weeks later this year does have an impact on what we see in terms of games shipments and sell-through more than other categories. And if you look at Magic, the fact that it was a lighter release this quarter we saw, if you look at within the U.S. and Canada segment, that Canada was more challenging. We saw momentum in the U.S. business, Canada as we change over some retailers as well just the economic environment. And so I would say overall it was magic impact first and then the Canadian business second as impact.
Sean McGowan - Needham & Company: Okay. And since we are now past Easter, can you say that retail performance suggested that whatever negative impact there was on the timing in the first quarter has been made up in the second quarter?
Brian Goldner: We really saw that over the last few weeks leading up to this weekend, and we’re still digesting some of the data from the last day or two. But we’ve seen significant increases in U.S. POS that’s improved and we’ve finished the Easter season with a very good momentum to start Q2.
Sean McGowan - Needham & Company: A couple of others. Deborah, is there any change in your guidance on expenses, that highly detailed breakdown that you gave at Toy Fair? Any change directionally in some of the key drivers there?
Deborah Thomas: No. No change directionally, and I think you are seeing some of that in the first quarter where we are seeing cost savings offset a bit by some of the investments we’re making. So overall we may have some timing impact but no change to the guidance we gave at Toy Fair.
Sean McGowan - Needham & Company: And last question, that is, I didn’t hear anything about Furby. Was Furby a net negative in the girls category?
Brian Goldner: Furby is rolling out in the non-English-speaking markets Furby boom, the second-generation of Furby. Furby was down in the quarter, I mentioned back at Toy Fair that we thought Furby would be our most challenging comp for the year but in fact in the first quarter it was a Beyblade. So Furby has performed relatively well although down in the quarter. It continues to have very strong POS in a number of markets around the world and we are launching Furby boom in non-English-speaking markets this year.
Operator: Your next question comes from the line of Mike Swartz of SunTrust Robinson.
Michael Swartz - SunTrust Robinson Humphrey : A quick question with the girls business up 21%, I mean that’s a pretty big number coming on top of a pretty nice comp from last year. I mean could you maybe talk about that in terms of how much that's been driven by POS versus maybe some larger product shipments in the quarter?
Brian Goldner: In fact, POS in the girls business across-the-board is very strong. We're really seeing that both My Little Pony core as well as Equestria Girls as an additional line is very positive to the brand and additive overall. Nerf Rebelle has been a great launch for us. It continues to have great momentum and we are rolling that out around the world. We saw growth in a couple other of our brands within the girls business. And remember that Nerf Rebelle and Equestria Girls began shipping late in Q2 last year. So this is a quarter where we're clearly clear air versus year ago really adding to our position in the girls business. We’re also seeing our market share in girls, in particularly in dolls grow, grow in the U.S. around the world and we’re also seeing that growth in outdoor activities where Nerf Rebelle has scored on NPD data. So overall I would say that it is a good start to the year and we have lots of new initiatives coming for girls. In the fall we launched Littlest Pet Shop initiative, the TV show is now out around the world, in about 140 countries. And we are really looking forward to getting Littlest Pet Shop launch again.
Michael Swartz - SunTrust Robinson Humphrey : And then just maybe looking at the Asia-Pacific business and just talking around that, have down 13%, and one of your competitors pointed out Australia as being pretty weak. I mean could you maybe flush out what's going on there? Is this a temporary issue or just any color you can give us?
Brian Goldner: Sure. It is, Australia is a market that had been more challenged from an economic situation. You look at consumer data and a number of other indications over the last year, and clearly it's been a market with more of a consumer malaise and we’re working through that. We don't view it as a permanent position but rather something that we’re addressing, a new leadership in there as of about 10 months ago and a team on the field that’s doing a great job in helping to turn that business around. And that really had the dominant impact on the Asia-Pac results. There is – there are some timing issues related to some shipments in China and other Asian countries in the first quarter. But we view those as very temporary.
Operator: Your next question will be coming from the line of Felicia Hendrix of Barclays.
Felicia Hendrix - Barclays Capital: Brian, thanks for the POS data on the girls side of your business. I was wondering if you could give us that for games?
Brian Goldner: Yeah, that POS in games in the first quarter was down, if you look as I said we got that three-week difference. We saw overall as a company in our games business the POS really accelerating later into right before this Easter and we’re still digesting this past weekend’s data. But the fact is we've seen some really good improvement in POS across the company. We do see in our franchise brands strong POS growth whether it's Nerf or in our girls business obviously Marvel is a contributor in POS as well as in shipments. And we have a number of big launches coming in our games business in the remainder the year, a number across the Monopoly brand, including My Monopoly this fall and the house rules Monopoly as you know. And then in girls a number of new gaming initiatives coming in particular the Disney Princess line within the girls games business. In boys one of the biggest contributors to the decline in the first quarter in games was in our boys and action battling as we’re shifting out of one form of action battling games and we’re launching this year something called Battle Masters which you may have seen at Toy Fair that features both Marvel as well as Transformers characters, and that’s coming. And then we have a number of things coming in our preschool areas of games as well, including a brand-new Mousetrap Play-Doh games and also a line up of Disney junior games and then in teens we’ve got that new Simon Swipe game. So we feel again as you look broadly for the year, we’ve got a lot of great new initiatives in games and our magic business and again I think that Easter did have an impact on the games business.
Felicia Hendrix - Barclays Capital: So it sounds like you would expect games to generate growth, year-over-year growth this year?
Brian Goldner: We don’t want to forecast specifically but I would tell you that we have a lot lined up in our games business. And we certainly feel as good about games this year as we did last year this time. And we – the teams have done a really good job of creating new innovations in our games business and that's true both in the core games business as well as in Magic: The Gathering and other games.
Felicia Hendrix - Barclays Capital: And then other than that shift in the new introduction in Magic, are you seeing any kind of other issues competitively or anything like that?
Brian Goldner: No, I think that, again the games business overall is certainly holiday oriented and that's true of both Easter as well as obviously Christmas. And we’ve got a number of new initiatives launching that are in support of a number of new games across categories.
Felicia Hendrix - Barclays Capital: Okay, I guess I was specifically talking about the timing of the release -- of the new release up for Magic?
Brian Goldner: Oh, what we – sorry, I didn’t understand. So we have releases that come throughout the year. So there's not just one more, there will be a couple more. And they just vary in size and they're all related to new storylines and the team swears me to secrecy as they take us through this because obviously each of the new releases is met with great excitement and buzz and there is a lot of buzz out there for some of the new releases that are coming among the fans. But there will be a number of new releases this year in Magic.
Felicia Hendrix - Barclays Capital: And then just, can you – when are you planning on starting to ship the Transformers product?
Brian Goldner: Transformers ships in this quarter in time for the movie. As you know typically we have product merchandise anywhere from 4 to 6 weeks before the movie launches around the world, and we work with our global retailers to ensure that both our toys and games product as well as great licensing initiatives are set for that time period as marketing builds and interest in the film builds.
Operator: Our next question comes from the line of Greg Badishkanian with Citigroup.
Gregory Badishkanian – Citigroup: Just to follow up on the movie shipments for Spiderman, you shipped I guess a little bit of that out in the first quarter and most of it will come in the second quarter.
Brian Goldner: Spiderman shipped a little bit more than Transformers. Transformers we only shipped very very little bit at the end of the quarter. So predominantly second quarter and then obviously we will follow the DNA of most boys properties where still the second quarter will not be probably as big as the third and fourth quarters for those properties. A bit more in Spiderman but still not the pre-movie set.
Gregory Badishkanian – Citigroup: And then internationally maybe just POS for Europe and Latin America just generally speaking or if anything stood out to you?
Brian Goldner: As we look around the world that industry growth as well as POS, and you look at Latin America where we have third-party data in Brazil and Mexico the industry is up and our POS is up very strongly. As you look around the rest of Latin America we have our own proprietary data and work with retailers to see where the market is, we believe the industry is up and our business is up with very strong POS and growth market for market. In Europe we’re seeing some POS growth but also a few declines in a couple of countries where again we’ve got differences in timing and also our new initiatives are garnering a very strong POS relative to the underlying business. So whether that’s My Little Pony or Equestria Girls or Rebelle or Marvel which has had a great start internationally. That's all being borne out.
Operator: Our next question comes from the line of Eric Handler, MKM Partners.
Eric Handler - MKM Partners: I wondered if you could talk a little bit about Transformers, go back a little bit in history and talk about the international growth that you’ve seen with the brand with the last couple movies and how much more developed your sort of emerging markets are now versus the last film?
Brian Goldner: Sure. If you go back and look at the first three films, the first film our sales were about – we released those numbers -- were about $492 million, the second film was $592 million, third film was something like $482 million. And then if you look at the growth, and just look at the growth in global box office which is benefiting all these entertainment initiatives, the first Transformers movie’s entire box office is not as big as our international box office for the third move. So we’re really seeing the growth around the world particularly in emerging markets. You’re seeing people building malls and multiplexes and consumers in these developing economies, emerging middle class is wanting to go out for the movies and it's great to see how global movie initiatives can take hold and help to support and drive the growth of those brands. We’ve certainly seen that, we have historically strong brand presence and legacy for Transformers around the world particularly in Asia. It's been on the air in markets around the world in 180 territories in our television over the last couple years. We, Hasbro, are running the biggest footprint, we've run in the history of the company and all the markets we now enjoy having our teams on the ground and are doing a great job. So again I think that as we look go forward part of the building of the brand blueprint was the idea of running a bigger global footprint with Hasbro’s own marketing and sales personnel and then executing that blueprint in immersive experiences either our own films or great partners’ films from Marvel and from over time Lucas film coming over the next couple of years.
Eric Handler - MKM Partners: So as quick follow-up, out of those totals that you gave for the first three films, what percentage of your business was international from those three films? How was that increase as a percentage of revenue?
Brian Goldner: Yeah, I don't have that specific number in front of me but it's always been -- the first film obviously more North American focused and the third film more internationally focused, and you’ve seen a bit of a shift but it's not gotten to 70:30, it’s a bit over pronounced in terms of the international business relative to the domestic business just like the rest of our business.
Operator: Our next question is from the line of Jaime Katz of Morningstar.
Jaime Katz – Morningstar: I just have one housekeeping question. Can you just talk about refinancing that debt and how you plan on managing to your leverage targets and if those maybe have changed?
Deborah Thomas: Sure. No, what we -- we did say at Toy Fair and continue to state today that on given current interest rates we would expect to refinance all of that debt and we have $425 million due mid-May. So that's kind of the timing of it. And as we think about our debt targets they are pretty consistent with what we said before. First and foremost we want to maintain our solid investment grade rating. So as we look at our targets of debt to EBITDA I think we're about 2.0 something this quarter debt to EBITDA. But our target remains in that 2 to 2.5 range and EBITDA to interest, our target remains at 8 times, I think we were 6.5 or 7 for the quarter. But our intent is to refinance that debt.
Operator: Your next question is from the line of Gerrick Johnson of BMO Capital Markets.
Gerrick Johnson - BMO Capital Markets: We’ve heard a lot of commentary on POS for different segments. I was hoping you give us an overall US retail POS and the actual international if possible?
Brian Goldner: Hello Gerrick. The overall US POS was down in the quarter relative to quarter on quarter comparatively. You have to look at the difference between the three weeks -- three weeks difference to Easter in order to see that, and as I said we’ve had significant improvement in POS over the last few weeks as we head toward the Easter week and that’s true in the US and in several countries around the world where Easter is meaningful. And sorry, I didn’t get the second part of your question?
Gerrick Johnson - BMO Capital Markets: It was just a follow up on international POS and what that looked like, and I understand the whole Easter shift but this is for our modeling purposes, it helps to know what the actual POS was in the quarter?
Brian Goldner: Yeah, so overall POS was down in the first quarter in toys and games compared to a year ago. As i said you look at through this past weekend and we’re still digesting the last few days of data. We've made up a lot of that ground. So I would say Easter looks relatively good and we certainly have great momentum going into the second quarter. Clearly Latin America is particularly a strong region for us market to market where we have both third-party data as well as our own data. In Europe we've seen some good growth in the UK, POS down in a few other countries where we have data, we mentioned Australia and in France we talked about challenges in France, and down a bit in Germany. And then if you look at the franchise brands, we talked about franchise brands growth of 15% and we’ve also seen great growth in POS against those brands whether it's Nerf exclusive and then inclusive of Nerf Rebelle, My Little Pony and then the inclusion of Equestria Girls but core My Little Pony, the Marvel business all showing good growth and growth in POS.
Gerrick Johnson - BMO Capital Markets: Okay, that’s very helpful. I guess that covers all POS questions. Maybe you could give us an idea of what Backflip contributed in the quarter and then also just to get back to Wizards of the Coast, to understand and you’re very clear about the release impact on Magic but I was hoping you give us an actual shipment number on which Wizards, it’s a metric you’ve given us in the past.
Brian Goldner: Overall Wizards, and we’ve never really given you a number but overall WotC business was slightly down in the quarter but we talked about Duel Masters which is obviously a Wizards initiative, a Japanese trading card brand. So again it's in that area where we saw some of the changes going on in the Japanese trading card market. That’s where we are with that. And then on the Backflip, it's -- backflip contributed in revenues and EBITDA if you take out amortization but with amortization was bit dilutive.
Gerrick Johnson - BMO Capital Markets: Okay. Any idea how much it did contribute in revenue?
Brian Goldner: We're not reporting it, we’re not breaking it out separately but clearly I will tell you like overall digital gaming business was up nicely in the quarter. So that includes Backflip as well as some other categories of digital gaming.
Operator: Our next question comes from the line of Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities: On Furby, you mentioned that that was down and obviously you expect that to be down versus difficult comparisons this year. Can you just sort of outline what quarters will be the most difficult comparisons in Furby? And then on Playskool, a little bit more color there, any impact you’re seeing from the broad category having I guess some challenges?
Brian Goldner: The Playskool numbers, if you look Playskool and look at the overall preschool business, the core preschool business, we have the January and February NPD data and clearly the industry category was down. What we’re really seeing is accounts is the character-led preschool initiatives are clearly working. We saw growth in our Marvel preschool business as well as Transformers preschool business and then our Play-Doh business is performing nicely globally and really growing as one of our newest franchise brands and taking hold. The core Playskool business was down in the category and that’s consistent with what we've seen in some of the industry trends. If you look at Furby, clearly Furby would -- the biggest impact would be in the third and fourth quarter of the year consistent with holiday sales.
Operator: Your next question is from the line of Andrew Crum with Stifel.
Andrew Crum - Stifel, Nicolaus : Wondered if you guys could comment on mix and its impact on gross margin in the quarter and how you see that playing out going forward, as this is a big year for the boys business which tends to carry lower gross margin than games? That’s the first question. Secondly, one of your competitors is entering the shooter outdoor category with a new line, I wonder if you could comment on conversations you’re having with retailers in terms of anticipated shelf space for Nerf?
Deborah Thomas: Sure, but let me take the gross margin question and then we will talk about – Brian can talk about the other question. But from a gross margin standpoint we are benefiting from mix and a lot of that’s really coming from the growth in our franchise brands. We talked about our franchise brands have grown 15% in the quarter and that mix is impacting us positively as well. We’re also benefiting from cost savings in the quarter in that gross margin line. So as we said at Toy Fair, we expect it to be able to [indiscernible] gross margins around levels consistent with full-year – a year ago, and that still remains our guidance for the full year.
Brian Goldner: Drew, if you look at the Nerf business, in the first quarter Nerf’s momentum was both in shipments as well as strong POS and that's within the boys arena. The addition of Nerf Rebelle was also significant over and above those increases and the POS there has been great in that part of our business, the new Nerf Rebelle brand is rolling out around the world and is merchandised primarily in the girls aisles of global retail. And we’re seeing great new innovations coming from Nerf throughout the year and feel very strongly that our Nerf business from an innovation and marketing standpoint is in a very good place.
Andrew Crum - Stifel, Nicolaus : And just one more question for me. As far as Beyblade is concerned, when does that no longer become a factor in terms of comps for the boys business?
Brian Goldner: Yeah, I think you will really see it diminished particularly as we get to the second half of the year -- as a significant comparison, Drew.
Operator: Thank you. At this time, we’ve reached the end of our question-and-answer session. I will turn the floor back to Brian Goldner for any additional comments.
Brian Goldner: Thank you. Before Debbie makes her closing remarks, I wanted to take a moment and recognize that shortly the Boston Marathon will begin taking place. We want to wish all the runners, spectators and the city of Boston a successful and safe day. Regardless of where you live we are all Boston strong today. Debbie?
Debbie Hancock: Thank you, Brian and thank you to everyone for joining the call today. The replay will be available on our website in approximately 2 hours. Additionally management’s prepared remarks will be posted on our website following this call. Our next earnings call is tentatively scheduled for Monday, July 21. Thank you.